Operator: Good afternoon, and welcome to the Republic Services Fourth Quarter and Full Year 2015 Investor Conference Call. Republic Services is traded on the New York Stock Exchange under the symbol RSG. All participants in today's call will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brian DelGhiaccio, Senior Vice President of Finance. Please go ahead.
Brian DelGhiaccio: Good afternoon and thank you for joining us. I would like to welcome everyone to Republic Services fourth quarter 2015 conference call. Don Slager, our CEO, and Chuck Serianni, our CFO, are joining me as we discuss our performance. I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties and may be materially different from actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time sensitive. If in the future you listen to a rebroadcast or a recording of this conference call, you should be sensitive to the date of the original call, which is February 11, 2016. Please note that this call is the property of Republic Services Inc. Any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of Republic Services is strictly prohibited. I want to point out that our SEC filings, our earnings press release, which includes GAAP reconciliation tables, and a discussion of business activities, along with the recording of this call, are all available on Republic's Web site at republicservices.com. And finally, I want to remind you that Republic's management team routinely participates in investor conferences, when events are scheduled, the dates, times, and presentations are posted on our Web site. With that, I would like to turn the call over to Don.
Don Slager: Thank you, Brian. Good afternoon, everyone, and thank you for joining us. We are pleased with our fourth quarter and full year results, which exceeded the upper-end of our financial guidance. As a result of successfully executing our strategy, the Republic team delivered higher levels of pricing, reported positive volumes, grew earnings and free cash flow, improved return on invested capital and increased cash returns to shareholders. During 2015, we made significant progress on our multi-year strategic initiatives. These initiatives are designed to profitable grow our business, enhance the quality of our revenue, improve the customer experience and reduce costs. Regarding our market position, we invested $193 million in tuck-in acquisitions, nearly 2 times our original goal. The transactions completed in 2015 represent annual revenue contribution of approximately $143 million at a post synergy EBITDA multiple of 4.3 times. And we acquired U.S. assets of Tervita, these assets serve as a platform acquisition in the E&P waste sector, with attractive long-term fundamentals and opportunities for future growth. Regarding our revenue enhancing initiatives, all of our markets are using our Capture cloud-based pricing tool. And our entire salesforce has been trained on priority-based selling. Our sales program is designed to identify and to track customers that are willing to pay for our higher value service offerings. Additionally, we now have over 500 contracts with approximately $250 million in annual revenue that use a waste-related index for annual price adjustment. These waste indices are more closely aligned with our cost structure and had consistently run higher than CPI. Most importantly, we are realizing the benefits of these revenue enhancing initiatives. During 2015, we reported our highest level of average yield in over five years. Regarding our customers, we continue to see very encouraging customer engagement on our digital platform. For example, approximately 1.2 million customers have enrolled in My Resource, our customer portal and mobile app, which significantly enhances our customer interaction and connectivity. And we launched click-to-buy capabilities in approximately 50% of our residential subscription markets. Click-to-buy addresses the evolving needs of our customers’ buying preferences and provides a lower cost sales channel. Our customers see the difference in our products and services, which is reflected in our customer satisfaction metrics. Our Net Promoter score, which measures customers’ willingness to recommend Company’s products and services improved for the third year in a row. And finally, regarding our fleet-based productivity and cost savings initiatives, 16% of our total fleet now operate on natural gas, 72% of our residential fleet is currently automated and 78% of our total fleet has been certified under our One Fleet maintenance program, up from 60% a year ago. These initiatives require investment, but the payback is compelling and our financial performance reflects the benefits we are seeing. Fourth quarter adjusted EPS was $0.50, which exceeded our expectations. Full year adjusted EPS was $2.06 and adjusted free cash flow was $830 million both exceeded the upper-end of our guidance. Core price in the fourth quarter was 3.4% and average yield was 2.2%. Average yield exceeded 2% in every quarter during 2015. Fourth quarter volumes increased 90 basis points this is the 11th consecutive quarter where we have grown price and volumes simultaneously. We returned $808 million to our shareholders through dividends and share repurchases during 2015. This includes approximately 10 million shares repurchased for 409 million. We finished the year with total shareholder return of 12.4%, which includes stock appreciation of 9.3% and dividends of 3.1%. Our TSR performance exceeded the S&P 500 average by over 8 times. We made substantial progress in 2015 and are proud of our strong results and many accomplishments, but we have more to do. Last month, we announced the realignment of our organizational structure by combining two layers into one. This included the elimination of our three regions, the consolidation of 20 areas into 10 and streamlining select positions at our Phoenix headquarters. We are reinvesting back into our 10 area offices by creating additional operating and functional support roles which puts resources closer to our business and our customers. Additionally, we are investing in our customer service capabilities and are in the process of consolidating over 100 customer service locations into three customer resource centers. The new state-of-the-art facilities and technology will enable better levels of customer service across several touch points including voice, email, text, social and live chat. The savings from the realignment are funding the investments we are making in our customer focused initiatives in 2016 and 2017. We expect these initiatives and realignment will contribute approximately $35 million of annual cost savings beginning in 2018. Our ability to make these organizational changes is a natural evolution and logical next step for our Company. As a result of developing standardized processes with rigorous controls, we are further leveraging our scale to continually improve our service offerings. Additionally, we are able to maintain our high performance business culture with field management retaining full accountability and P&L responsibility. We call this approach the Republic Way, which we believe is the best way to create durable operational excellence and lasting value for all our stakeholders. Chuck will now discuss our financial results. Chuck?
Chuck Serianni: Thanks Don. Fourth quarter 2015 revenue was approximately 2.3 billion, an increase of 61 million over the prior year. This 2.7% increase in revenue includes internal growth of 90 basis points and acquisitions of 1.8%. The components of internal growth are as follows. First, average yield growth of 2.2%; average yield in the Collection business was 2.7%, which includes 3.1% yield in the Small Container Commercial business, 3.8% yield in the Large Container Industrial business and 1.5% yield in the Residential business. Average yield in the Post-Collection business was 70 basis points, which includes landfill MSW of 1.5%. Core price which measures price increases net of roll backs was 3.4%; core price consisted of 4.4% in the open market and 1.7% in the restricted portion of our business. Second, our volumes increased 90 basis points year-over-year; the Collection business increased 90 basis points, which includes positive contribution from the Large Container Industrial business of 2.8% and the Residential business of 40 basis points. The Small Container Commercial business was flat with the prior year. Our Small Container Commercial volume included a 40 basis point decline from non-regrettable losses of select national accounts and work performed on behalf of brokers. The Post-Collection business made up of third-party landfill in transfer station volumes increased 1.8%; landfill increased 2.1% which includes positive MSW volumes of 5.5% and C&D of 8.2%, offset by a decline in Special Waste volumes of 2.1%. The decline in Special Waste relates to same-store E&P volumes. Special Waste volumes excluding E&P waste streams increased 1%. Next, fuel recovery fees decreased 170 basis points, the change relates to a decline in the cost of fuel which decreased approximately $33 million compared to the prior year. The average price per gallon of diesel decreased to $2.44 in the fourth quarter from $3.57 in the prior year, a decrease of 32%. The current average diesel price is $2.01 per gallon. We recover approximately 80% of our total fuel cost through our Fuel Recovery Fee program. Additionally, 20% of our diesel gallons are hedged using financial hedges. Finally, commodity revenue decreased 50 basis points. The decrease in commodity sales primarily relates to the decrease in recycled commodity prices. Average commodity prices for all materials at our recycling facilities decreased 16% to an average price of $95 per tonne in the fourth quarter from $113 per tonne in the prior year. Excluding glass and organics average commodity prices decreased 14% to an average price of $108 per tonne in the fourth quarter from a $126 per tonne in the prior year. We believe excluding glass and organics is a better way to report average commodity prices, since they are low value waste streams and can skew the average price per tonne. Our sensitivity to changing commodity prices has always excluded the impact from glass and organics. Again I want to remind you that a $10 per tonne move in recycling commodity prices results a $0.03 annual EPS impact. On our Web site we posted the three year history of average commodity prices including and excluding glass and organics. Fourth quarter total recycling volume of 648,000 tonnes, represents the increase of approximately 14% from the prior year. Excluding acquisitions, volumes were up approximately 3%. Cost of goods sold for recycled commodities was relatively flat with the prior year. Now I will discuss changes in margin. Fourth quarter adjusted EBITDA margin was 27.2%, which was down 80 basis points from the prior year. The change included a 50 basis point increase in SG&A expenses, primarily due to higher levels of incentive compensation and investments and initiatives. And a 30 basis point decline in EBITDA margin from lower recycle commodity prices. With respect to higher SG&A costs, the increased incentive compensation expense was due to financial outperformance during 2015. I also want to remind you that we expect the cost savings from the realignment to offset the investments in initiatives beginning in Q1, 2016. On a full year basis EBITDA margin was 28.1%, an improvement of 10 basis points over the prior year. Margin expansion in the Solid Waste business of 90 basis points primarily due to lower fuel costs and pricing in excess of cost inflation, which partially offset by the impact of acquisition of 40 basis points and lower recycled commodity prices of 40 basis points, when looking at individual cost line items as a percentage of revenue, there is an impact from the decrease in fuel recovery fees and the sale of recycled commodity revenue. For example, the 2.2% decline in these revenues resulted in increases in labor expense of 40 basis points and repairs and maintenance expense of 20 basis points. I want to remind you that we provide a detailed schedule of cost of operations and SG&A expenses in our 8-K filing. Fourth quarter 2015 interest expense was $93 million, which includes $12 million of non-cash amortization. Our effective tax rate was 34.3% in the fourth quarter and 37.2% for the year. In 2016, we expect to return to our statutory effective tax rate of approximately 39.5%. The increase in our tax rate resulted in $0.08 EPS headwind in 2016. Full year adjusted free cash flow was $813 million. This performance includes a cash tax benefit from the extension of bonus depreciation of approximately $65 million. We expect bonus depreciation will provide a cash tax benefit of $30 million in 2016 resulting in a $35 million year-over-year cash tax headwind. Now I will turn the call back to Don.
Don Slager: Thanks, Chuck. Before I open the call up for questions, I will provide our 2016 financial guidance. We expect adjusted earnings per share to be in a range of $2.13 to $2.17, which is consistent with the preliminary outlook we provided last October. This continues to demonstrate the stability and predictability of our business. Our expected performance represents high single-digit earnings growth after excluding the $0.08 headwind from the increase in our effective tax rate. We anticipate adjusted free cash flow to be in a range of 820 million to 840 million, which was upwardly revised from our preliminary outlook due to the extension of bonus depreciation. This performance represents mid to high single-digit growth after excluding the change in cash taxes. We expect annual revenue growth of 2.5% to 3%, which includes average yield of approximately 2%. We believe this level of pricing is strong given the 30 basis point headwind from lowest CPI-based presets. Volume growth in a range of 1.5% to 1%, we expect our volume trajectory to be relatively consistent with our full year 2015 performance, with the exception of residential due to known contract losses. Residential volumes are expected to be slightly negative. Contribution from acquisitions of 1%, this relates primarily to tuck-in acquisitions and the rollover impact from 2015 transactions. And a decline in fuel recovery fees of 1%, due to lower diesel prices. We anticipate an EBITDA margin of approximately 28.5%. This represents 40 basis points of margin expansion over our 2015 performance. 2016 net capital expenditures are expected to be $900 million or approximately 9.5% of revenue. This level of spending includes a $60 million benefit from cost effectively extending the useful life of our fleet, as a result of our One Fleet maintenance program. This is in addition to the $40 million of capital we saved during 2015. We anticipate investing $100 million in tuck-in acquisitions and we expect to return approximately $820 million of total cash to shareholders through $420 million of dividends and $400 million of share repurchases. I would like to thank the entire Republic team for their contribution that allowed us to meet our objectives and positioned us well for future growth. During 2016, we will continue to deliver on our promises to our key stakeholders and remain focused on managing the business to create long-term value by executing our strategy of profitable growth through differentiation. At this time operator, I would like to open the call to questions.
Operator: Thank you, we will now begin the question-and-answer session. [Operator Instructions] In the interest of time, we ask that you limit yourself to one question and one follow-up question today. [Operator Instructions] Our first question today is from Al Kaschalk with Wedbush Securities. Please go ahead.
Al Kaschalk: I want to focus if I may on the volume guidance in particular I think broader thoughts for that the sector could grow about 1% to 2% in '16, maybe with some of these headwinds you are seeing in the broader economy that would have been a little bit too aggressive, but did you address the 50 basis points to 1% increase that you are looking forward in particular how large was the residential drop contracts that you lost?
Don Slager: Well, it's actually a couple contracts right, so this is just normal in our business Al and let’s focus on residential for a second. We have made a lot of noise around the fact that the residential business has been the weakest for some time, the residential business some of those contracts again have CPI resets which don’t really work us for us over the long-term. We have been very good public private partners with our residential customers, and we ultimately need to have contracts that work for both parties and so we are booking a very strong approach, if you are trying to get these contracts switched to a new index which we only talked about doing that successfully. And there are some contracts frankly that just don’t work for us and so we are going to continue to be focused on return on investments, so the residential business can be a little bit weaker in '16 as a result of that. And again there is -- we have got so many contracts in total do we have in residential contracts it is thousands of them right. So that’s just the nature of the beast and that is going to be a little lumpy from year-to-year. The underlying economics we think are good, right. So you think about how we always talk about the fact that its population growth driving household formation and really is a critical metric in our business. If you look out at household formation it is strong, it prompts us to continue to remain strong as far as we are growing so that’s good for us. The Special Waste business looks pretty solid that’s a good indicator of a good economy and we have seen pretty consistent growth in even our landfill MSW business over the last year. I mean so I think we are in pretty good shape. You reported on the year 4 plus percent growth in MSW landfill which -- that is actually nice to have across the business. So we will continue to look for that and then with the capture tool and PBS we’re being very selective about the kind of growth we’re getting. And as I said in my remarks, that we are in the 11th straight quarter where we had both positive volume and pricing growth, and we think that’s the magic where we get both end and we continue to get both end into the future and that’s where we’re focused that’s going to deliver the margin that’s going to deliver the cash.
Al Kaschalk: If you slice the volume overall and I guess my question is a little bit more macro driven. But historically we’ve known that C&D has been a big beneficiary to the RSG/Allied network. How would you look that and say from either a manufacturing side, or what concerns should we think about and shareholders be aware of in terms of slower economy, what that may impact and in particular in what manufacturing verticals, how much are you exposed there?
Don Slager: Well, first let’s step back from all of that and remember, I mean we tend to lag right so when things go up and down we kind of lag a little bit. But when we talk about our Large Container Industrial perm business that’s mostly construction, it's a large container tank. When we talk about industrial large container perm industrial is kind of a misnomer because that includes a lot of commercial retail business, a large multifamily office buildings, hospitals anything that requires large container. Only a portion of that perm large container business is truly industrial right. And we’ve continued to see strong performance in that permanent business both price and volume. So we’re not concerned about that segment of our business.
Operator: Our next question is from Corey Greendale of First Analysis. Please go ahead.
Ken Wang: This is Ken Wang on for Corey. So just thinking about the incentive comp increase that you mentioned and looking at the labor cost as well which looked like they were up about 6% year-on-year. Was the incentive comps increase something that also had an effect on labor cost, just given the increase?
Don Slager: No, the incentive comp increase really occurred all in the SG&A line and that was due to the financial outperformance that we had during 2015. And obviously as we look at SG&A cost in 2016 we’re not expecting that to repeat.
Ken Wang: And then in terms of the labor cost being up 6%, what was the driver there?
Don Slager: Sure, so keep in mind that 40 basis points of that is due to reduction in the fuel recovery fee and commodity revenue, so it is really revenue based and then the other 20% is really due to acquisitions.
Ken Wang: Okay, that’s helpful…
Chuck Serianni: Yes, so Ken when you think about revenues, because you’re just looking at the straight dollar increase.
Don Slager: Is that right the 6% you’re just taking a look at dollar-to-dollar is what you’re looking at?
Ken Wang: Yes, that’s right.
Don Slager: So I mean remember you got to think about there is normal inflation in the business and then when you think of on a full year basis when you look at our volumes, it's been heavily weighted to the Collection portion of our business. So there is a volume element to it. And then you have to look at the total amount of acquisitions that we’ve completed during the year. Right so you add the three up together from the revenue perspective, because remember within the revenue you’ve got the reduction from fuel recovery and fee and commodities, it does nothing to your labor cost. So you got to look at the revenue change exclusive of those and basically what you’re seeing is a similar increase in labor expense, expressed as a percentage.
Ken Wang: And just one quick follow-up, do you have any comments on any changes you’ve seen in competitor behavior, anything you’re seeing either from large competitors or small competitors?
Don Slager: No, I would say really no change over what we saw at the end of last year. Generally speaking more broadly speaking, you know that we feel pretty good about sort of the rational behavior in the market generally. There is always A market or two, there is always a local competitor or two doing something, maybe making a bad decision or having debt -- actually they are making investment here and there. But overall, we’re not concerned about it.
Operator: Our next question is from Scott Levine of Imperial Capital. Please go ahead.
Scott Levine: So, last year I think you lowered off of your preliminary guidance for 2015 due to recycled commodity prices dipping here you’re affirming the guidance. Just kind of wondering any appreciable changes in any of the assumptions or drivers beneath the surface of your business from 3Q to 4Q? Or is it really kind of status quo and no meaningful change in any particular area here?
Don Slager: No, actually there has been a change. I mean we look at our outlook and then look at our guidance right now. We’ve got about a $0.04 decrease due to commodity prices, so pretty a significant decrease since we gave outlook. But we’ve been able to offset that by lower fuel cost and also through other improvements in the business and that's what allowed us to keep our guidance consistent with our outlook that we provided in October.
Scott Levine: And as a follow-up, in your capital allocation plan for '16 have you outstanding free cash by a bit here you've come off to pretty active years for M&A just looking for your confidence level maybe that you can continue this out spend free cash flow and then grow the dividend and then still remain comfortable with where your balance sheet leverage is?
Chuck Serianni: Yes, we're very comfortable with the balance sheet leverage, so right now we're at 2.9 times, when we look at our capital allocation both in terms of dividend and share repurchase it’s right in line with the free cash flow and they are still having the capacity that we need in order to pursue acquisition so we're very comfortable with the capital allocation strategy and very comfortable with being able to continue to increase our dividends in the future.
Don Slager: Yes, Scott this is Don, as it relates to the M&A right, we can talk about the pipeline of tuck-ins, we've got a pretty good handle we think on what is out there as it relates to tuck-in opportunities, but these larger opportunities that really drove the over I'd say that over spending but it's like we spend more in M&A last year those are lumpy right, those come to the market once in a while, so we don't really see, we don't have visibility to any of those today as we look at '16. And again we're always focused on first and foremost the tuck-ins in our current markets in our core business and that's what gives us the better return and lower risk et cetera, but it's just that we always want to maintain right strength in our capital structure, so that if the right thing does come along for us we've got the flexibility so we're very focused on that.
Operator: Our next question is from Tyler Brown of Raymond James. Please go ahead.
Tyler Brown: Hi Don, I want to talk about what I'm going to call your own idiosyncratic pricing story, so at this point, Capture has rolled out, everybody is through PDS, my resource has got increased penetration and I assume all of that would drive better customer loyalty. So given all that can you give us any metrics maybe even just directionally about maybe churn or spread between your lost business and going forward would we expect to see the gap between core price and average yield narrow?
Don Slager: Well, let’s backup, first of all right, it's a pretty big denominator right, so if we talk about taking the faction from 7% which it’s been the faction have been at an all time double-digit high, in the past we've got it down to 9, 8, now 7 it's been consistently 7 for some time. Driving that down to 6 would be quite a feat but we're focused on extending customer loyalty and perhaps that the faction is really competitive the other half is what we call structural business to close and things move offshore et cetera. We are really-really focused in on the quality of services we're delivering to our customers through meeting our customer commitments which is internal metric and then also Net Promoter score which as I said in my comments we have improved the Net Promoter score every year for three years so -- and we're very-very active in trying to understand how our customers think about us and then we brought forward not only better quality of service delivery but a better way of doing business with us through our digital platform. So, all those things are driven to improve the customer experience and then on top of that the tool set you described around PDS, Capture and also frankly the improved CRM tool that our team uses today makes them one or more efficient, more effective but also helps them to get basically the price for new selling to improve. And that's what is happening with what we're seeing with price, with yield and with churn. That churn which is essentially the difference between business gained and business lost right the net difference has continued there to narrow, that has been a big part of our pricing story and we're going to continue to focus on that as we go through the years. The combination of all those things working towards, again extending the loyalty, reducing churn which ultimately means lower inflection and creating what we call internally rolling this effect right and then PDS is directing our sales teams at customers that we believe are in the segments that are more likely to buy value and less likely to be only priced customers. So, everything we've been talking about over the past couple of years is getting rolled out as we've been working for the greater good and it is reflected here in our best pricing ever in 2015 or in a long time it has been going on you know. And 11 straight quarters for both pricing and volume growth and as I said with another question, we're going to be focused on the right growth, right, targeted profitable unit growth. So, we're seeing it and then we're seeing market expansion, we're seeing good cash flow as a result, so that's as you called it what idiosyncratic right that is the word.
Tyler Brown: Chuck do you want to understand a couple of the underlying assumptions in the guidance. So, first off are you guys assuming about a $10 decline in commodities, is that right?
Chuck Serianni: A $10 from yes from what we actually saw in 2015, that’s right.
Tyler Brown: Okay, and then are you expecting Tervita to contribute more or less EBITDA?
Chuck Serianni: It is going to be about the same, what we got is a little bit of a headwind associated with drilling activity and we are going to make that up through productivity gains and through the anniversarying of some integration costs.
Tyler Brown: Okay. And then lastly just do you have specifically what you are kind of expecting for open versus restricted market pricing?
Chuck Serianni: No, and you got to take a look at the performance Tyler I mean it's a similar level of performance in 2016 as we saw in 2015 with the exception of the step down in CPI-based pricing. But you can probably expect similar level of contribution.
Tyler Brown: Okay all right that’s perfect, thank you guys.
Don Slager: And a subset of muni that we converted to a better index set right.
Operator: Our next is from Jeff Volshteyn of JPMorgan. Please go ahead.
Jeff Volshteyn: When we look at your congressional funding for infrastructure that was surpassed last year, there is a fair amount of enthusiasm about new conversations and new projects in infrastructure. Does that impact -- I mean do you think about that market as potential opportunity for you, does that impact your business in over the next so let’s say three to five years?
Don Slager: It doesn’t make a huge impact when you think about that infrastructure build funding roads and bridges. We do work for customers who build roads and bridges but that doesn’t generate the same kind of waste volume that comes out of stack homes and multi-family homes and skyscrapers right. The weight that comes from building a site is not some things like expedition and point of concrete. But things like putting up starts and dry wall and permitting and installation and ripping those kinds of things generate waste for construction. So roads and bridges we have some containers at along some of these building sites but unfortunately for us we don’t get to pull them very often.
Jeff Volshteyn: Just a few clarifying questions, on the reorganizational announcement or restructuring what is the timing of it through 2016, are there certain quarters where it is going to be more impactful?
Don Slager: Well let me start and I will let Chuck talk about how the numbers roll-in but reorganization is complete, right. So the reorganization is complete the organization is function under the new model and so basically we have the absolute lower cost of organization functioning today net of the onetime severances and relocations that some of the relocations have to occur over the next couple of months.
Chuck Serianni: So what we are saying is that the savings that we are going to receive from the realignment. Will really start in February and that’s about $20 million or so, that’s going to be offset by additional investments and initiatives, primarily due to our customer resource centers. So that will be an offset within our P&L. We are also going to have about $35 million of restructuring charges, $25 million of that are associated with the realignment that Don just talked about, a lot of that should be frontend loaded so more towards Q1, Q2. And then about $10 million of that associated with the customer resource center, that’s going to be more spread out through the year.
Operator: Our next question is from Michael Hoffman with Stifel. Please go ahead.
Michael Hoffman: I have the sense that solid waste’s operating leverage is a little bit matched by similar noise that happened throughout the year, if you were to strip away Tervita, how do you think about the solid waste profitability trend through the year and coming into 2016?
Don Slager: Michael let me start by going through some of the numbers, so if we just reconcile the EBITDA margin from '14 to '15, 2014 was at 28% and we got about 90 basis points of margin expansion this from the solid waste from the base business, a lot of that due to pricing above cost inflation and lowering that fuel. Now that was offset during the year by the recycling business which ended up being about 40 basis points, and by acquisitions of about 40 basis points. So to your question, you eliminate the cycling and you eliminate the 40 basis points from acquisition it gives you a better idea of where we think the true margin potential is of the business of the base business.
Michael Hoffman: Okay that’s very helpful. And then within the cash flows sort of discussion, you finished this year's cash flow from operations with a nice healthy 18.4% of revs that is a nice healthy increase year-over-year, and really there is a nice deferred tax from tax furnace depreciation that -- but your guidance for next year looks like you are retaining a lot of that, it's still over 18% so it's you might want it down a little bit year-over-year it's still over 18 which is up on a long-term basis so is that a sustainable permanent trend here now, you’re 18% or better CRC of ops going forward?
Don Slager: Yes, we would say that that is we believe that to be sustainable Michael going forward. We think about growing free cash flow on an annual basis somewhere in the mid to high single-digits is something we feel comfortable with and that’s exactly what we’re doing this year if you exclude the impact of bonus depreciation on both ’15 and ’16.
Michael Hoffman: And you are -- and I think I misunderstood your commentary or I didn’t understand it. The 65 million was in ’15 December and 30s in 18 so ’16, is that what you were saying?
Don Slager: That’s right. Yes, that’s right Michael, that’s right.
Michael Hoffman: Okay.
Chuck Serianni: And Michael maybe another way to think about this as well is that if you take a look at the 2016 guidance right for free cash flow of 820 million to 840 million, even though there is a $30 million benefit from the expense of the expansion of bonus depreciation, if you look at the in-year impact, right so from all prior years together with what was just extended, it's still a net negative in ’16 to the magnitude of about $20 million. So if you want to kind of think normalized, you would take that guidance and add $20 million, that’s a normalized level of free cash flow as bonus depreciation never existed at all.
Don Slager: Right so think about it your first question the underlying waste our business expanded 90 basis points again forget about some of the other noise. But the cash flow point you made is right on it and as you always say you get proper cash. You think about what we’ve done in the business to shift the pricing to offset cost. We still got some good cost initiatives underway certainly the reorganization and CRCs are part of that. And ongoing improvements still in our product set and in our customer service overhang and so I continue to drive willingness to pay. So we’ve shifted a gear here and now we’re funding with some of those improvements funding the next wave of initiatives and so on. So I mean we think we’re going to continue to do that year-on-year and at some point in the future there will be other waves of initiatives that we talk about still, just going to leave you so much more time. But we think we’ve turned the corner on it.
Michael Hoffman: And just so I understood Brian’s comment about what you were saying I think was the 813 less the 65 you’ve normalized that it would still be plus 20 and then that grows to 830 would be the midpoint less 30, so it's still showing growth that’s the point you’re making [Multiple Speakers].
Don Slager: No, no I guess what I was saying Michael is that you just take the 2016 guide of 820 to 840, okay if you take a look at the in-year impact of bonus depreciation that we’re going to see due to the reversal of prior years in ’16 together with the in-year benefit from the extension, when you take the net impact of that, that’s still a net negative $20 million to free cash flow or $20 million in higher cash taxes then that bonus depreciation never existed at all. So the notion of kind of what normalized would be in a normal tax environment it’d be closer to 840 to 860 not 820 to 840, that’s what I was saying.
Operator: Our next question is from Andrew Buscaglia of Credit Suisse. Please go ahead.
Andrew Buscaglia: So, on your fleet savings programs, the 72% automated at 78% maintenance program. Do you expect those to be pretty much complete by the end of this year?
Don Slager: No the -- we’ll have the let’s take them one at a time. The automation right is focused on the residential part of our business going from multiple individuals working on accrue to single operator vehicles right. So, we’ve moved that number up 2% or 3% a year. I think last year we converted what 200 or 300 routes to the single operator. So that’s just been ticking up that thing will probably max-out somewhere at about 80% I’d like to think I’d give you a little better but some neighborhoods or some contracts just can’t quite get there, so it's going to continue to tick up year-on-year until we are fully automated. The One Fleet initiative is going to be complete this year with all of our divisions being fully trained on One Fleet and then they’ll be certified some of them will still be in the certification process into the venue next year. But we’re seeing the benefits of the most mature sites that we talk about generally accruing the business so the longer these divisions are on the One Fleet program the better they perform. And not to mention right obviously the extension of the fleet the useful life of the fleet which has been a very methodical over our process and as I said in our comments we’re continually taking advantage of that and as a result and our CapEx this year is only about 9.5% of revenue.
Chuck Serianni: That’s right. So just put a final point on that and we had -- we are expecting a $200 million capital savings associated with the One Fleet program, $40 million of that we actually obtained in ’15 and we’re expecting another $16 million benefit in 2016.
Don Slager: And we originally said it would take four to five years to fully roll that out, so we'll take advantage of the extending the life.
Andrew Buscaglia: And then switching gears on the volume side, can you talk a little about your expectations specifically on the commercial volumes I know they were flattish this quarter, what are you seeing, are you expecting '16 for that segment?
Don Slager: Yes, we would say generally flat and we've got a couple of things going on in there. We have -- back in my comments earlier about more disciplined -- internal discipline on our end around price and volume, finding that right balance, really using the tools, the Capture tool et cetera, we as talked about in previous quarters the fact that we parted with some non-profitable national accounts business and we're going to continue to be very certain in our actions around that and we've also walked away from some broker relationships, those are third-parties who don't own trucks, they don't own containers, they don't own landfills, they have no risk, they bring no value to the customer and we've had some relationships there that we've had to part ways with and we're going to continue to be very selective of our partners and that will impact our commercial small container growth in '16 and in '17 frankly. But I mean we will continue to be flat at least for '16 and ultimately as our product continue to improve and everything else we'll get our fair share of growth and that's the thing we always say is what 240 markets , 42 states, we're in number one or number two market position, and about 93% of those as growth is there we get our fair share of growth and we want to focus that share on -- again customers who are in the right segments who value our quality and rolling effect.
Operator: Our next question is from Michael Feniger of Bank of America/Merrill Lynch. Please go ahead.
Michael Feniger: You got into EBITDA margins up 40 basis points, can you just walk us through some puts and takes on what's helping you really expand that margin in a very tough CPI backdrop?
Chuck Serianni: Sure, let me put a little bit of color first of all on fourth quarter margins and the EBITDA margin for Q4 2015 was 27.2%. Now included in that you'll see that we had higher SG&A cost, incentive comp was about 50 basis points higher, we had some legal settlements of about 20 basis points and we had some initiative investments of about 30 basis points. Now the initiative investments in 2016 are going to be offset by the cost savings from the realignment that I had talked about and we're not expecting the initiative comp, the incentive comp and the legal settlements to reoccur. So, just from that alone you're ending up with 100 basis points more in margin for the quarter. And we're looking at SG&A in 2016 closer to 10.5% and once again that has to -- it's a little bit higher than the 10% that we called out just because of some of the costs that we're incurring is associated with initiatives but after 2018 and getting the full benefit associated with both the realignment and the customer resource centers, we're expecting SG&A to be back in -- back to around 10%, so looking longer term, really we're going to be able to start leveraging our SG&A and that's what is going to be a primary driver of our margins going forward.
Don Slager: Yes. And Mike, just to kind of look at -- if you look at the full year-over-year what Chuck just described on the SG&A expenses that's probably 30 basis points of the 40 basis points of margin expansion from '15 to '16 just on SG&A and then the rest is basically just due to a better business performance.
Michael Feniger: And then with free cash flow coming in ahead in 2016 and a very healthy cash flow from operations, is there any thought about maybe taking up that tuck-in acquisition target of 100 million higher?
Don Slager: Yes so, we've got a target of 100 million as I said and we've got a pipeline -- each of our Area President's and our General Managers have responsibility to contribute to that pipeline with ideas around companies that might be interested in selling. You know I always say right, in order to gather the deal, one of the main components of having a good deal is having a willing seller right. And you need a willing seller, you need good synergy, real synergy, you'd like to get real assets and real property and real goodwill of customers, we don't like startups, we don't buy serial seller, we like the quality companies with recurring revenue and good assets and so there's a limit to what is out there and there's a limit frankly to owners who are willing to sell and they got to be at a point in their lives frankly where they are so, we're going to be as optimistic because we can be -- we think the tuck-in really looks like 100 million. It is something so much long that's it is not in our sites today, we'll let you know as the quarters tickle off, we always have the capability to do more and that’s one of the reasons that we maintain our capital structure the way that we do. And again we are very focused on trying to grow the core and we know the value of tuck-in more business into already a very strong management team and really a strong asset base. So if it's there we will take a look at it.
Operator: Our next question is from Adam Baumgarten of Macquarie. Please go ahead. Adam your line is live perhaps muted on your end.
Adam Baumgarten: Hi sorry guys, thank you [Multiple Speakers] just a quick question on the Post-Collection yield and it's pretty stable quarter-over-quarter despite a pretty nice pick up in MSW yield, can you kind a walk me through the put and takes there?
Don Slager: Let me back up and give you just a sense to it and then I’ll let Chuck walk through the numbers. But remember that Post-Collection right includes right transfer and landfill and remember that a good portion of our landfill business today, MSW still comes through as municipal waste from municipal customers, right. And a lot of that business -- so these are cities who have their own trash fleets their own trucks quite and their own trash from rate payors. But they have no landfills and so unfortunately for us some of those contracts are still in with the CPI accelerators, so as we are thinking about moving to new indices that is the one of the areas that we will focus on overtime. In the other part of the business, the sort of the open market part of the rent business we do much better. But it's heavily weighted still towards that municipal waste product.
Chuck Serianni: Yes so the restricted piece of the business, the yield there is closer to 1% to 1.5% and then to Don’s point the unrestricted price is probably closer to 3% or 4%.
Adam Baumgarten: And then just one quick one, should we expect any material impact on 1Q margins from the extra selling day?
Chuck Serianni: Yes we think that there is going to be a downward pressure on margins, higher cost I should say in Q1 because of the extra selling day. That’s about 30 to 40 basis points.
Don Slager: And then the other thing again just to kind a keep in mind when you take a look at the first quarter is last year we got the benefit from the lag in the fuel recovery fee. And that was about $0.02 EPS benefit it contributed about 60 basis points to margin in the first quarter of '15. So when you look at the combination of the two just kind of something to keep in mind as you are looking at your model for next year for this year.
Operator: At this time there appear to be not further questions. Mr. Slager I’ll turn the call back over to you for closing remarks.
Don Slager: Thank you Emily, I would like to thank all Republic employees for their hard work, commitment, and dedication to operational excellence and creating the Republic Way. Thank you for spending time with us today. Have a good evening, and be safe out there.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for attending. You may now disconnect.